Operator: Good morning and welcome to Lazard's Second Quarter 2023 Earnings Conference Call. This call is being recorded. Currently, all participants are in a listen-only mode. Following the remarks, we will conduct a question-and-answer session. Instructions will be provided at that time. [Operator Instructions]. At this time, I will turn the call over to Alexandra Deignan, Lazard's Head of Investor Relations, Treasury and Corporate Sustainability. Please go ahead.
Alexandra Deignan: Good morning, and welcome to Lazard's earnings call for the second quarter and first half of 2023. I'm Alexandra Deignan, Head of Investor Relations, Treasury and Corporate Sustainability. In addition to today's audio comments, we have posted our earnings release and an investor presentation on our Web site. A replay of this call will also be available on our Web site later today. Before we begin, let me remind you that we may make forward-looking statements about our business and performance. There are important factors that could cause our actual results, level of activity, performance or achievements to differ materially from those expressed or implied by the forward-looking statements, including, but not limited to, those factors discussed in the company's SEC filings, which you can access on our Web site. Lazard assumes no responsibility for the accuracy or completeness of these forward-looking statements and assumes no duty to update these forward-looking statements. Today's discussion also includes certain non-GAAP financial measures that we believe are meaningful when evaluating the company's performance. A reconciliation of these non-GAAP financial measures to the comparable GAAP measures is provided in our earnings release and investor presentation. Hosting our call today are Kenneth Jacobs, Lazard's Chairman and Chief Executive Officer; and Mary Ann Betsch, Lazard's Chief Financial Officer. Mary Ann will start the discussion with an overview of our financial results, then Ken will provide his perspective on the outlook for our business. After that, Ken and Mary Ann will be joined by Peter Orszag, Chief Executive Officer of Financial Advisory; and Evan Russo, Chief Executive Officer of Asset Management as they open the call to questions. I'll now turn the call over to Mary Ann.
Mary Ann Betsch: Thanks, Ale, and good morning, everyone. Today, we reported operating revenue of $620 million for the second quarter of 2023, an 8% decrease from the second quarter of 2022. Operating revenue for the first half was 1.1 billion compared to 1.4 billion in the first half of the prior year. In Financial Advisory, we reported second quarter revenue of $344 million compared to $407 million in the second quarter of 2022. On a sequential basis, Financial Advisory revenue increased to 26%.  For the first half of the year, operating revenue was $618 million, 22% lower than the same period in the prior year relative to an overall market decline of approximately 50% in M&A completions globally. Despite these challenges, we remain actively engaged with clients in both Europe and the U.S., and private capital advisory, our primary and secondary capital raising group, delivered a strong first half.  In Asset Management, second quarter operating revenue was $267 million, up 1% compared to the second quarter of 2022 and sequentially. Management fees were up 1% compared to both the second quarter of 2022 and the first quarter of 2023. For the first half of the year, management fees declined 5% compared to the prior year period. For the second quarter, incentive fees were $6 million compared to $7 million for the second quarter of the prior year.  For the first half of 2023, Asset Management operating revenue was $532 million compared to $577 million in the first half of 2022, reflecting lower management fees and incentive fees. As of June 30, we reported AUM of $239 billion, an increase of 11% year-to-date, and 3% higher from March 31 of this year. The sequential increase was driven by market appreciation of 8.8 billion, offset by foreign currency depreciation of 600 million and net outflows of 1 billion. Average AUM for the second quarter was 235 billion, increasing 2% from a year ago and 4% on a sequential basis.  Now turning to expenses. For the second quarter, adjusted compensation expense was $424 million. This equates to a 68.4% adjusted ratio during the second quarter, which reflects our current best estimate for the remainder of the year. Our non-compensation expense was 144 million in the second quarter, 10% higher than the prior year, primarily reflecting increased occupancy costs, higher travel and professional services expenses.  As we reported last quarter, we've conducted cost saving initiatives which we believe will result in a reduction of approximately 10% in our run rate cost base by 2024. Taking these actions resulted in an expense of 147 million in the second quarter and 167 million year-to-date, which are excluded from adjusted results. Our effective tax rate for the second quarter as adjusted was 31.2%, which compares to 26.4% in the prior year. We currently expect this year's annual effective tax rate to be in the mid 20% range.  Turning to capital allocation. In the second quarter of 2023, we returned $47 million to shareholders, including 43 million in dividends. During the first half of 2023, we returned 234 million to shareholders, including 86 million in dividends, 99 million in share repurchases and 49 million in satisfaction of employee tax obligations. Additionally, yesterday we declared a quarterly dividend of $0.50 per share.  Ken will now share his perspective on our performance and outlook.
Kenneth Jacobs: Thank you, Mary Ann. The global macroeconomic outlook is improving. As inflation continues to fall, expectations are mounting that we were close to the end of the current tightening cycle. In addition, there is growing anticipation that central banks will successfully see a soft landing. This sense of macroeconomic optimism is yet to filter through to M&A completions, which have remained low since transaction volume began to slow in the first quarter of 2022.  However, we believe the M&A market is stabilizing, and that conditions may be in place for the beginning of a rebound. But it's important to be realistic about the likely pace of such a recovery. Most M&A cycles see deal activity recover in fits and starts. Just as M&A completions reflect market conditions when deals were announced six to nine months ago, we expect that newly announced transactions will complete at a similar pace.  In the meantime, we are seeing increasing Board and investor confidence. The gap between buyer and seller expectations is narrowing. And signs are emerging that financing while more expensive is becoming more accessible. We're also seeing a pickup in cross border activity particularly among European clients looking to engage in transactions in the U.S., while the Middle East continues to be a growing hub for capital and deal activity.  Although restructuring had a slow start to the year, activity is picking up and should increase ahead of significant amounts of debt maturing in a more challenging credit environment and facing higher financing costs. In light of this evolving landscape, this week, we announced the launch of Lazard's new Capital Solutions Group, a global team focused on advising, coordinating and executing the firm's capital raising and debt advisory solutions for clients which will complement our world class restructuring business.  Given these market factors, we believe the years ahead could deliver circumstances in which a surge in both M&A and training [ph] activity coincide at the same point in the economic cycle. The environment for Asset Management is improving. AUM is up 11% year-to-date and significantly FX headwinds are abating as the U.S. dollar is weakened throughout 2023. We are seeing momentum across the business, including growth in Europe and significant flows in global equities and emerging markets led by our quantitative equities platform and several global equity strategies.  As we outlined last quarter, we believe the current market conditions create an environment which is more favorable for our fundamentally-driven investment approach with many of our strategies outperforming on a one and three-year basis. While there remains a level of uncertainty in the markets, our Asset Management business continues to see an active new business pipeline. We are also continuing to expand our relationships with financial institutions across the globe, with increasing traction in Asia and continued success in the U.S.  Turning to the upcoming leadership changes. In May, we announced that Peter Orszag, currently CEO of Financial Advisory, will become CEO of Lazard on October 1. On the same day, I will transition to the new role of Executive Chairman, in which I will principally advise clients. Having worked closely with Peter for the past seven years at Lazard, I can attest to his leadership qualities and his clear and exciting vision for the firm and its future. In recent years, we have placed new leaders in virtually every business, country and industry group across the firm, all of whom will play an important role in supporting Peter as he leads Lazard into the next chapter in its storied 175-year history.  Now let's open the call to questions.
Operator: Thank you. [Operator Instructions]. We'll take our first question from Ryan Kenny with Morgan Stanley.
Ryan Kenny: Hi. Good morning. Thanks for taking my question.
Kenneth Jacobs: Hi, Ryan.
Ryan Kenny: Wondering if you could just give us some more color on the comp ratio? The adjusted comp ratio came down substantially quarter-over-quarter. How are you thinking through the trajectory of that for the back half of this year and into next year? And what activity level outlook is embedded into your comp preserving? Thanks.
Mary Ann Betsch: Sure, I'll take that one, Ryan. So as I said, the 68.4 that we accrued this quarter is our estimate for the remaining quarters of the year. And that takes into account our estimation of the headcount reductions that we've done year-to-date, the attrition that we expect for the remainder of the year and the hiring plans that we have through the rest of the year. So that's sort of our best estimate fully loaded with everything that we're planning. What you see driving year-over-year, the sort of elevated comp ratio is that we do have a fixed component, as you know, from the deferrals that we had last year, and so that's driving the adjusted GAAP ratio. But you will see the headcount reduction savings coming through and the awarded ratio, which reflects what we pay our people in the current year.
Kenneth Jacobs: Yes, just in terms of revenue outlook for the year. We expect that the second half of the year will be better than the first half. But it will be more weighted towards the fourth quarter is our expectation, which obviously has some risk associated with that. And that's on Financial Advisory, I'm sorry.
Ryan Kenny: And on the comments around conditions being set for a rebound, is there any more color you can give us on how much the pipeline has increased and how foundational versus fragile it feels?
Kenneth Jacobs: I would say it's fragile. I think it's early. I think it's bottomed. At this point, the market we've seen for the industry a 50%, 60% decline in completion, so over the last couple of years. We feel like that is bottoming out at this point. And for all the reasons I pointed out in the script, it feels like there's a little bit -- there's more dialogue, there's more discussion, feels like there's more activity, but this has to translate into announcements and then announcements have to translate into completions. It's early, but it's improving.
Ryan Kenny: Great. Thank you.
Operator: Thank you. Our next question will come from Steven Chubak with Wolfe Research.
Brendan O’Brien: Good morning. This is Brendan O’Brien filling in for Steven. To start, just want to discuss Europe a bit. Commentary on the outlook was encouraging, but it feels like central banks in Europe are running behind the Fed a bit in terms of where they are in the rate hike cycle. And we've seen how the uncertainty on the path of rates has impacted activity in the U.S. so far. Given you guys are close to the mark, it would be great to get your perspective on the dynamics at play in the region and how activity, conversations compare to the U.S.?
Kenneth Jacobs: I think our experience in Europe is a little bit divorced from the market. We've had a pretty -- reasonably strong year relative or a strong year relative to market conditions in Europe overall on the advisory side. I think you're right that the central banks are a little behind the U.S. And we expect that conditions are going to remain tougher for longer. But on the flipside of that, you've seen this obviously very strong rebound in equity markets in Europe, which actually matched the broad indexes in the U.S., which is the first time we've seen that in a long time. So I think it's a little behind but at the same time, there are a lot of factors like there are in the U.S. that give us confidence that it's beginning to stabilize.
Brendan O’Brien: That's very clear. Thank you, again. And then just turning back to the comp ratio, I know it's early days here but I want to get some more color on how you're feeling about the progress on your cost cutting initiatives. Based on the slide deck, it seems as if you've already taken down your [indiscernible] count in advisory pretty meaningfully. So it feels like you're running a bit ahead of schedule. And also just given your commentary on the line between announcements and completions in M&A, I was hoping you could speak to your ability to get the comp ratio back to the targeted range in 2024, or if we should be thinking about it being more of a 2025 type story at this point.
Kenneth Jacobs: Look, the GAAP comp coverage ratio is a function of past compensation practices and pay and current revenue environments. So 2024 is going to be really a function of our discipline around cost and compensation and people, which we embarked on in the first quarter, largely completed, although it doesn't show up in the headcount until you get to the end of the year fully, just given the pace of the departures and such in different jurisdictions. With regard to '24 and '25, what I would say is that it depends a lot on the revenue picture. I think on an awarded basis, we have more confidence that we're going to get back to our margin targets and necessarily on the GAAP, because we don't really control the deferral in a given year. And a lot will depend on the environment. But the whole goal of this exercise -- this initiative in the beginning of the year was to put us in a position for an environment that we thought was going to be tougher for longer. We do not expect that there will be a rebound in '24 like we saw in '21. And as a result of that, we wanted to take the initiative to prepare ourselves for a more difficult environment. And also at the same time free up dollars on a discipline basis to invest in markets where we think there's more attractive people [ph] than in some markets where we historically have had investments in the past. And I think you can see that in our moves in the first quarter. And I think we're on track to accomplish this right now. We are on track to accomplish this.
Brendan O’Brien: Great. Thank you so much for taking my questions.
Operator: Thank you. Our next question will come from Devin Ryan with JMP Securities.
Devin Ryan: Great. Good morning, everyone.
Kenneth Jacobs: Hi, Devin.
Devin Ryan: Hi. I just want to stay on this point around investments in I guess recruiting. Clearly, some of your peers are really aggressively in the market right now are talking about just how good conditions are to bring in talent. And you're arguably less focused on kind of intermediate term margins or kind of reversion to the mean in margins that you guys have been. So philosophically, some differences. But you're right sizing in certain areas, as you mentioned, Ken, but then there's maybe opportunities in other areas. And so I'm just trying to kind of put together if we are seeing some green shoots in the market, and maybe on the margin -- the revenue outlook for 2024 is brightening a bit. Does that embolden you guys to maybe get more aggressive on leaning in investments into the areas where you want to grow? And just love to kind of just put that all together and think about the ability to recruit here and whether you guys are kind of going the other direction of peers, or maybe it's just the way you guys are framing relative to some others?
Kenneth Jacobs: I think I'll let Peter take this question as it's about the future.
Peter Orszag: Sure. So the short answer is we are actively in discussions about recruiting high productivity managing directors. There are a variety of sectors where we see plenty of opportunity for expansion. I wouldn't tie this directly to exactly when the M&A cycle turns because when you're making a decision about hiring a senior banker, that's a medium to long-term investment, not a year-to-year investment. And so that part of your question I would just say that's not really how we think about it. But we're definitely very actively in the marketplace looking for the right fit. And we're going to be selective about the people that we bring on to the platform, looking for those areas of high productivity that we can add in a profitable way. And back to Ken's point, one of the motivations for the cost saving initiatives that we announced earlier on was to make sure that we had the room to make these investments even in a tougher year overall for the market.
Devin Ryan: Okay, that's very clear. Thank you so much. Then a follow up maybe for Evan, if I can, on Asset Management. If you just go back and look at AUM over the past, roughly decade, it's kind of ranged around $200 billion up to $250 billion range. And I just want to think about whether -- especially as that business has evolved over the past decade, you guys feel like the business is at the scale required to operate and optimize business model there, you are performing well, but just how you think about that business relative to an optimized level? And is there may be an idea to look to scale that quite a bit more? I know there's an active pipeline of new products and those will all contribute, but they seem like kind of more singles than triples or homeruns. And so just how you guys feel about maybe the view that that business should be quite a bit bigger within Lazard? Thanks.
Kenneth Jacobs: Evan?
Evan Russo: Sure. Hi, Devin. So, look, historically, I think the way we've always thought about the business is not about the absolute size of AUM, it's really about making sure you've got scale in the platforms that you're operating in. So scale in the products that you're in making sure that you can be relevant in the market and be a player in the markets that you're in. And so it's going to go up and down based on markets and based on allocations where clients want to put money at any point in the cycle. But I don't think that we focus on the absolute number across the business as much as we think about how we scale across the different platforms. There certainly are opportunities. We've done a lot of different types of organic growth over the years and sort of setting the stage with different types of new products that we've been developing. As you know, products take -- new areas can take five plus years to kind of continue to grow. Some of our largest platforms today were built by us over the past decade that grow into $10 billion, $20 billion, $30 billion platforms over time. And so we have to stay focused on continuing to build out, think smart, think ahead of where we're going. I think over time, we're certainly continuing to think about where the world is going and where those opportunities should be for our clients, where the clients want us to be. And we're going to continue to invest into the platforms that we have to continue to grow those over time organically as we have and continue, as we've said, probably look for inorganic opportunities across areas where clients have a significant interest that we don't play today.
Devin Ryan: All right. Thanks very much.
Operator: Thank you. Our next question will come from Jim Mitchell with Seaport Global.
Kenneth Jacobs: Hi, Jim.
Jim Mitchell: Good morning. Maybe just jumping back to sort of the pre-tax margin targets and the cost saves, I think you had talked about getting back to a normal type of revenue environment, say, 2018, 2019, that can get you back to sort of those historical margins potentially next year. Is that more of an awarded comment? Is that still possible if we can get to sort of '18, '19 revenue levels in '24? I just want to make sure I understood the comment.
Kenneth Jacobs: I think that's a pretty good direction. As we get to a normalized revenue environment, we should get back to our margin targets on an awarded basis.
Jim Mitchell: Okay. And maybe just following up on your announcement on the Capital Solutions Group, it seems like Lazard has been providing those services. So just want to make sure I understand the strategic importance of putting them all together under one roof. And I think you mentioned it's still separate from restructuring, but complementary. Wouldn't it made sense to put them all together even restructuring, just trying to get a sense of how you feel like that's going to help drive growth from here?
Kenneth Jacobs: Okay. What this is really addressing is the rise -- the significant and very substantial rise in the private credit markets and accessing that source of capital. It's a very flexible, very accretive source of capital that now competes, if not equally, even ahead of what traditional financing banks, public markets do for our corporate client base and our restructuring client base. And coordinating that dialogue, having those dialogues with those sources of capital I think is a unique proposition at this moment. And we're kind of making sure that we're running that like you would run a capital markets desk, really making sure we're talking to all the sources of capital on a daily basis and making sure that we have knowledge of where those sources of capital are and making that available to our corporate and restructuring clients.
Jim Mitchell: Okay, that's clear. Thanks.
Operator: Thank you. Our next question comes from James Yaro with Goldman Sachs.
James Yaro: Good morning, and thanks for taking my questions. Maybe just starting with you --
Kenneth Jacobs: Hi, James.
James Yaro: Good morning. Peter, maybe just to start with you, I know you've yet to take over CEO. But you've obviously talked a little bit about the future so far this morning. So maybe just any thoughts, any early thoughts on your plans and outlook for the future of the business?
Peter Orszag: Yes. Well, look, obviously we'll have a lot more to say in October. So I'm going to hold the bulk of it for that moment, which seems more appropriate. But at the broadest level, we start from a position with fantastic people and a really remarkable brand, a lot to build on. And on both sides of the business see significant room for expansion, both in Advisory and in Asset Management. I think maybe with regard to anything more detailed, it would be better for us to wait for October.
James Yaro: Fair enough. Okay. And then we've seen a number of mixed signs as it relates to antitrust. On the one hand, certain challenge deals in the U.S. appear likely to close but at the same time, we just received new proposed antitrust guidelines. How are you thinking about the risks of enhanced global antitrust scrutiny and the impact on large cap M&A? And I guess it'd be interesting to get your views on both the U.S. but globally as well.
Peter Orszag: I guess I'll take that. It's Peter again. So listen, I do think it's a little bit different between the U.S., the UK and the EU, in particular. To start with the U.S., the very interesting dynamic is while you're right that there are new proposed guidelines, there's also new agents are filing requirements that have been put forward. I think the big news over the past couple of months have been the court decisions, especially the most recent one. And the question becomes whether what's going to happen here is if the courts continue to rule against the FTC and the DOJ in the United States, whether deals will proceed but just with additional time duration to build in the need to litigate and additional expenses for lawyers. So it's a very interesting moment. And as you may know, Lina Khan did speak about this earlier in the week and said that she was still kind of proceeding as she has been. I think with a couple more court decisions that go against the government, the phenomenon that I just mentioned in which deals will proceed but build in additional time and cost to litigate, because there's ultimate confidence that in court, the deal will be approved is the thing to watch over the next year or so. UK and EU, different situation obviously, different environment. And I think what you should be looking for there is how much they diverge from the initial inclination of the U.S. And so we've had some recent cases in which there's been -- I think there's a perception that it's all fully coordinated. But there have been some prominent cases recently where there have been divergences and that's the thing to watch for the EU and for the UK authorities.
James Yaro: Okay, that makes a lot of sense. And then just one other quick one that I feel obligated to ask, which is just there were a few press reports a few months ago about a potential sale of Lazard. I just wanted to see if there were any comments that you could make on this.
Kenneth Jacobs: No. No comments beyond what we did make in the first place.
James Yaro: Okay, fair enough. Thanks a lot.
Operator: Thank you. Our last question will come from Brennan Hawken with UBS.
Brennan Hawken: Hi. Good morning. I snuck under the wire. Thanks for taking my question. And Peter, welcome and congratulations on the new role. Looking forward to working with you. 
Peter Orszag: Thank you.
Brennan Hawken: I totally appreciate Peter the idea to not get ahead of yourself and that's very, very sensible. One question I would like to ask though is just philosophically, when you consider Lazard stock, the performance of Lazard stock over the past many, many years and pathways and avenues to create value, could you may be -- is everything on the table? Because in the past, investors have asked about certain potential avenues which were previously sort of not really considered or viewed as potentially attractive. And one question I regularly get from investors is whether or not a fresh perspective might open up all potential avenues and at least for reconsideration or a fresh perspective. Is that a philosophical question, at least a fair one to consider at this stage?
Peter Orszag: Sure. Look, as I said, we'll have a lot more to say in October. It is fair to say we're taking a fresh look at everything. That doesn't mean that the answers are going to change. But it does mean that we're taking a fresh look at everything in the run up to October.
Brennan Hawken: Right. Okay. Thank you. I appreciate that. And then just a couple of ticky-tacks. I don't think you guys provided AUM which you normally provide sort of quarter-to-date, so any maybe update on AUM and flows. And could you give a sense, the advisory was quite strong. We're hearing restructuring picking up from some of the competitors. Was that a strong contributor here? And how's the outlook for restructuring for the rest of '23 and into '24?
Kenneth Jacobs: Two parts to the question. Why don't I let Mary Ann take the AUM question, and then I'll answer the restructuring question.
Mary Ann Betsch: Sure. So we've decided, Brennan, going forward that because we give the AUM and the composition of the change every month that we're not going to be doing that mid month anymore, because it can change a lot throughout the course of the month. And you'll have it as of the end of the most recent month at any point in time. So we won't be doing that going forward.
Brennan Hawken: Got it.
Kenneth Jacobs: Okay. And then on restructuring, no, it wasn't a particularly big part of the quarter. It was a contributor, but not a standout.
Brennan Hawken: And the outlook?
Kenneth Jacobs: Outlook is -- as I said, I think that the outlook for restructuring is improving. There's more activity. We expect with the significant maturities coming up next year, year after, year after that, that you're going to see more restructuring activity. Credit conditions are going to probably be a little more challenging when that then was originally financed. And more importantly, interest costs are going to be much higher. So I think the stress on company is greater. And that's why I alluded to the fact that we may be in one of those moments where you get an improvement in the restructuring activity, at the same time you have more M&A activity.
Brennan Hawken: Yes. Okay. Thanks. Ken, I know how much you love my multi-parters, so there's my --
Kenneth Jacobs: I love your multi-parters. They're great.
Operator: All right. Thank you. We have no further questions in the queue. So I would now like to conclude Lazard's second quarter 2023 earnings conference call. You may disconnect at any time. Thank you.